Operator: Ladies and gentlemen, thank you for standing by, and welcome to the CommScope Second Quarter 2021 Results Call. . I would now like to hand the conference over to Russell Johnson. Please go ahead.
Russell Johnson: Good morning, and thank you for joining us today to discuss CommScope's Second Quarter 2021 Results. With me on today's call are Chuck Treadway, President and CEO; Alex Pease, Executive Vice President and CFO; and Bud Watts, Chairman of the Board.  You can find the slides that accompany this report on our Investor Relations website. Please note that some of our comments today will contain forward-looking statements based on our current view of our business, and actual results may differ materially.  Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance.  Before I turn the call over to Chuck, I have a few housekeeping items to review. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials.  Reconciliations of non-GAAP financial measures and other associated are contained in our earnings materials and posted on our website. All references during today's discussion will be to our adjusted results. All quarterly growth rates described during today's presentation are on a year-over-year basis unless otherwise noted.  I'll now turn the call over to our President and CEO, Chuck Treadway. Chuck?
Charles Treadway: Yes. Thank you, Russell, and good morning, everyone, and thank you all for taking the time to join our call this morning. I'm going to be starting on Slide 3. I'm pleased to report that CommScope's core business continues to perform well, as we deliver on our commitments to customers and help them deploy the most advanced networking technologies in the world, with core revenue up nearly 18% year-over-year to roughly $1.7 billion and core EBITDA up 21% to $293 million, our portfolio continues to demonstrate a strong recovery.  Importantly, our backlog in the core business is more than $2 billion with a book-to-bill of 1.2x, representing continued strength in order entry and demand for our products and services. I'm now over 9 months into the job as CEO of CommScope, and I've observed a number of key factors that we believe will enable CommScope to perform very well in the coming years.  First, we have built a leading technology portfolio. Whether it is our indoor and outdoor wireless technologies, our industry-leading fiber and copper cable and connectivity, our distributed access network solutions or our innovative service offerings, we are a market leader in technologies that enterprise and service provider customers need to deliver the networks of the future.  Second, we are well positioned to take advantage of some of the most powerful tailwinds in the communications industry. Key demand drivers include the Rural Digital Opportunity Fund, the introduction of new mid-band spectrum to power 5G and the fundamental shift toward distributed work and education. All of these forces and more are creating unprecedented need for high reliability, low latency network connectivity. And as a result, we are experiencing record demand for our products.  Third, we are seeing encouraging signs of recovery in spending from last year's COVID-driven softness. Our enterprise markets, more and more 5G-related use cases are coming to market. Many companies and venues are upgrading their networks to support the return of employees and customers and service providers continue to invest in additional capacity to meet growing demand.  While significant uncertainty about the future path if COVID remains, at this time, we believe the worst aspects of last year's depressed business demand are now behind us. Lastly, the strength of the CommScope employee base has never been more evident. As I meet and work with more and more of our people, I continue to be impressed by their talent, domain expertise and desire to win.  Our team's response to the industry-wide supply chain challenges is just one example. During the quarter, we experienced significant supply chain issues, but as our results demonstrate our people from the factory floor to my senior leadership team worked hard to mitigate a significant portion of the impact and continue to do so. Meanwhile, we are innovating at an unprecedented pace, introducing technologies such as cloud and analytics, advanced optical networking, remote MAC-PHY devices and in-building LTE solutions to support our customers' most advanced networking needs and support future growth.  This and much more is coming together well under the umbrella of CommScope NEXT, which I will describe more in depth shortly. Before moving on to our business results, I would like to provide more color on the supply chain disruptions, I referred to earlier. Across many industries, companies are dealing with acute shortages and delays, CommScope is no exception.  For subcritical items, most notably semiconductor chips. Lead times have pushed out beyond the year and in some cases, manufacturers are decommitting and prices for many key production inputs, including copper, resin, steel and freight have spiked dramatically. While we navigated these issues well during the second quarter and are proud of our performance, we acknowledge that these factors will persist at least through the balance of the year and likely beyond. Our strong backlog and order entry rate give me great confidence in our markets and our future performance. But these extended lead times will challenge our ability to convert backlog into sales as quickly as we'd like in the near term. Alex will discuss our supply chain challenges, impacts and mitigation in more detail during his remarks.  Now I would like to provide more detail on our second quarter results before concluding with an update on the ongoing progress of CommScope NEXT and our previously announced spinoff of the Home Networks business.  Turning to Slide 4. On a consolidated basis, during the second quarter of 2021, revenue grew almost 4% year-over-year, and we achieved an adjusted EBITDA of $308 million, a 10% increase over the second quarter of last year. As I mentioned previously, core CommScope, which consists of 3 businesses -- 3 business segments that will remain after we complete the planned spin-off of our Home Networks business grew revenue nearly 18% year-over-year. Our Broadband Network segment led the way with revenue up 22%, benefiting from strong node-splitting activity by cable operators and strong demand for fiber and connectivity products.  In our Venue and Campus Networks segment, we also delivered significant year-over-year improvement with segment revenues increasing almost 18%. This growth was driven by a significant recovery in the sales of copper and fiber cabling to enterprise customers and robust fiber demand from hyperscale data center customers as well as strong RUCKUS sales in key vertical markets.  In our Outdoor Wireless Networks segment, second quarter revenue increased by 9%. We are seeing steady progress by major North American wireless operators in upgrading macro cell sites to state of 5G readiness and we continue to be confident that our extensive wireless product line, which we describe as everything but the radio will play a major role in the transition to 5G. During the second quarter, Outdoor Wireless experienced healthy demand and a growing backlog for a variety of macro cell site related products, including base station antennas, HELIAX fiber-to-the-antenna solutions, PowerShift power management solutions, cabinets and enclosures and related components. Together, our core business had a strong quarter and that performance provides clear evidence of the growth and profit potential of core CommScope after the spin-off Home Networks.  As a reminder, we announced in April of this year that we plan to spin off our Home Networks business into an independently traded public company. We are currently on track to complete the spin-off during the second quarter of 2022. This is slightly behind our initial projection of completing the transaction by the end of Q1 2022 due to operational complexity of the transaction. The full strength of the core CommScope team and the Home Networks teams are working diligently to separate the businesses and create stand-alone organizations ahead of the planned spin-off date and position both organizations for a successful start, independent from one another. In the meantime, we continue to see strong demand for mini Home Networks products. However, the segment's performance was heavily impacted by supply chain disruptions. As a result, quarterly revenue fell to $457 million, a 28% decrease versus prior year. We continue to believe that these supply disruptions are transitory in nature and will abate over time as supply catches up with demand. As this occurs, Home Networks should be well positioned to return to more normalized sales and EBITDA trends due to its large and growing backlog.  Turning to Slide 5. I want to provide you with an update on how we are progressing with our CommScope NEXT initiative. As you will recall, CommScope NEXT is a comprehensive program to improve business performance by focusing on 3 key drivers: growth, cost efficiency and portfolio optimization. We have committed that CommScope NEXT will deliver an annual run rate of at least $500 million and adjusted EBITDA improvement over the next 3 years, split equally between incremental growth and improved cost efficiency. I'm very excited to report that we are making excellent progress on CommScope NEXT. It has rapidly moved from the design and planning stage to an operational stage, consisting of building highly granular execution plans directly tied to concrete growth and efficiency targets and track centrally. These plans will be created and owned and managed at the individual business unit level with business unit leaders and operational leaders felt directly accountable for delivery. In an evolution from past CommScope practice, we have already taken steps to better empower our line leaders with comprehensive general management growth and P&L responsibilities and they are responding enthusiastically. And we just passed an important milestone in the process. In mid-July, we gathered approximately 100 of CommScope's most senior leaders in Dallas for a 3-day CommScope NEXT strategy session. The goal of this event was to introduce, explain and generate excitement for the key components of CommScope NEXT.  These sessions were invigorating and broad alignment around the nature and scale of the opportunity was evident. Coming out of this session, our leaders are now well equipped to communicate the strategy to their respective teams and enable our goal of realigning priorities and ways of working across our entire organization. We are leaving no stone unturned in this process, and we will challenge head on every bias and roadblock in the way of growth and change. And we -- and when we have finished the job, CommScope will be a changed company and positioned to succeed like never before. And in that regard, I'd like to share with you a few examples of early wins we have achieved through CommScope NEXT. The primary mission of the growth vector of CommScope NEXT is this. We will create a customer-centric company that can offer differentiated value propositions and achieve above-market growth across our core business segments. While we are taking a multipronged approach to accelerating our growth through CommScope NEXT, a key component of our growth plans is ensuring that we have ample manufacturing capacity in areas where we expect the largest and most enduring demand increases over the next decade. During the second quarter, we made significant progress on implementing a new capital investment program at 4 of our manufacturing facilities to increase our production capacity of fiber cabling, FDX cabinets and fiber terminals and closures. The first of these projects came online during the second quarter and will become operational throughout the next 4 quarters, and more will become operational throughout the next 4 quarters. This increased fiber capacity will allow CommScope to capture a meaningful share of the rapidly emerging fiber everywhere trend being driven by increased competition for home band -- for home broadband customers and government spending on rural fiber initiatives such as the Rural Digital Opportunity Fund. Overall, we expect these new capacity investments to support $350 million to $400 million of incremental annual revenue growth by 2023. I can also report some early progress of the cost vector of CommScope NEXT, where our key goal is to implement best-in-class procurement and operating practices to achieve significant and recurring cost savings. We recently completed an initial pilot of cost control towers at our manufacturing facilities in Claremont and Catawba, North Carolina. Cost control towers introduced a rigorous and highly structured approach to direct spend management, where functional committees are empowered to review, challenge and if necessary, reject any proposed purchase above a minimum threshold. The results of this pilot were better than we expected. On average, the pilot program reduced spending by 8% to 14% during this initial period across a variety of indirect categories. And we've seen even stronger results as we scale the program globally. For reference, across CommScope, there's at least $500 million of indirect annual spend that could be appropriate targets for these types of local cost control towers. These are just a few examples of what our talented CommScope employees can achieve when challenged and given the right tools and latitude to execute independently. I look forward to sharing more details and success stories from the CommScope NEXT journey at our Investor Day event this December. In the meantime, our task and our challenge for the upcoming few quarters is clear. We were pressed forward with operationalizing CommScope NEXT, while also continuing to meet our customers' increasing demands. We will manage through a volatile supply environment and emerge stronger when these conditions abate. As we execute on these priorities, I would remind you of some of my very first comments as CommScope's CEO. CommScope NEXT is a fundamental transformation of the company and it is key to unlocking a new level of shareholder value. We're aggressively focused on delivering the step function improvements in the company's growth, cost structure and portfolio structure by the end of 2023. And while we will encounter challenges along the way, I'm confident that we will be successful. With that, I'd now like to turn the call over to Alex to provide further details on our second quarter results. Alex?
Alexander Pease: Thanks, Chuck, and good morning, everyone. Starting with an overview of our consolidated results on Slide 7. During the quarter, net sales increased 4% to $2.19 billion, which includes the 2% favorable impact due to foreign exchange. Orders for the quarter were $2.5 billion, yielding a book-to-bill ratio of 1.18x. Adjusted EBITDA of $308 million increased 10% and adjusted EBITDA margins of 14.1% increased 80 basis points.  Adjusted earnings per share was $0.43 per share, an increase of 34% from the prior year period. Shifting focus to our core CommScope businesses, net sales increased nearly 18% in the quarter to $1.73 billion. Core adjusted EBITDA improved over 21% from prior year to $293 million, while adjusted EBITDA as a percentage of sales was 17%. Orders for the core business were again very strong, yielding a core book-to-bill ratio of over 1.2x. Strong revenue growth was driven by significant growth in our Broadband Networks segment as well as solid growth within both Venue and Campus and Outdoor Wireless segment.  The robust demand environment we're experiencing continues to validate the convergence of wireline and wireless spend cycles and the strong products and solutions that we're offering to our customers. Adjusted EBITDA improved across all 3 core CommScope businesses with notable improvements in Venue and Campus Networks and another quarter of strong performance by Broadband Networks. So bringing it together, Q2 was a strong quarter for us and demonstrated the underlying strength of our core business lines. And before we discuss segment results, I want to provide additional context for the current and expected segment performance.  As most companies are, we're dealing with a challenging supply chain. The conditions we're navigating include shortages and decommits of input materials and components, increased prices and lead times for input materials and components and increased freight costs, delays and unreliable delivery timing. While these issues are affecting all of our core businesses, our business lines that incorporate semiconductor content are the most affected primarily broadband networks, the RUCKUS and DAS subsegments of Venue and Campus Networks and Home Networks.  Chip prices are up significantly and lead times have been extended for months sometimes even to over a year. While our node splicing impact specific segments as our review segment performance. I will quantify the specific magnitude here. On a gross basis, in the quarter, this represents $45 million and $270 million for the full year before any mitigation steps that I'll explain shortly.  Finally, while we fully expect these issues to be transitory in nature, they'll likely persist into early 2022 to some degree. This being said, it is our job to adapt to these challenges, and we're actively working to mitigate these issues, and we were able to offset roughly half of the impact described above in Q2 and expect at least the same degree of offset of the full year impact in order to preserve our margins and minimize negative impacts on our cash flows and balance sheet. Steps we have taken and will continue to take include dynamic sourcing, qualification of additional vendors, better leverage of our scale and redesigning of products to accommodate alternative inputs. And where necessary, we've increased prices to our customers and will continue to do so when required. As Chuck noted, our team has mitigated many of these impacts to date and our strong Q2 results are a testament to the team's dedication to delivering for our stakeholders. We're proud and thankful for our team's great work thus far. But we are also mindful that some macro challenges will continue for the near term.  Turning to Slide 8 for an overview of our segment highlights. Beginning with the Broadband Networks segment. Net sales of $808 million grew 22%, primarily driven by the strength in all regions, except Asia Pacific, with the growth predominantly stemming from the Caribbean and Latin American and North American regions. Net sales growth within the segment was driven by both network cabling and connectivity and the Access Technology business. Adjusted EBITDA of $154 million grew 21% over the prior year period, driven by higher sales volumes.  The Broadband Network segment delivered another quarter of both top and bottom line growth as operators continue to push fiber deeper into their networks and address capacity constraints within existing DOCSIS networks, particularly on the uplink. Over time, we expect spending within the fiscal access layer of the network to continue moving further to the edge, creating a shift in mix from head-end electronics and optical components to nodes and amps. With our cable operator customers, discussions pertaining to the evolution to DOCSIS 4.0 are becoming more relevant and operators are evaluating their next-generation hybrid fibroplasia architecture choices and CommScope is playing an important role in these discussions. Given CommScope's technology leadership in this space, we're increasingly investing with our customers in the initial phases of testing and development for the network needs to the future. While the material financial benefits of DOCSIS 4.0 are still a few years out, we're encouraged about the role that we will play in the technology road map for delivering 10 gigabit network fees. For our Network Cable & Connectivity business, we're seeing meaningful progress on the build direction behind RDOF, the Rural Digital Opportunity Fund. As stimulus plan participants are working to solidify their RDOF plans and other customers are driving fiber deeper into their networks and passing more homes, we're seeing a strong backlog and momentum in our fiber and connectivity business. And as Chuck mentioned in his earlier remarks, our timely investments to augment internal capacity are being deployed, and we expect this will become a material revenue generator for years to come. As we look towards the second half of the year, it's important to note that there will likely be several dynamics impacting overall mix. Specifically, in Q3 of 2020, we experienced a large high-margin software sale that will likely not repeat. In addition, the strong growth in Network Cable & Connectivity nodes and taps carry a structurally lower margin than some of the active electronic components.  In addition to this product mix, the business is also feeling the impact of the supply chain disruptions both Chuck and I have described in depth.  Turning to Slide 9 for our Venue and Campus Networks segment. Net sales of $563 million grew 18% from the prior year and across all regions, with the most significant growth driven by China, North America and Europe. From a business unit perspective, net sales improved across our inside plant copper, fiber and RUCKUS businesses. Adjusted EBITDA for the segment improved 55% to $59 million as higher sales volume were partially offset by higher input costs in areas such as copper, resins and freight.  Venue and Campus businesses saw an impressive growth in order entry rates as the demand environment is recovering from last year's COVID-19 pandemic-related lockdowns and associated slowdown in enterprise spending. And CommScope Venue and Campus sales are reaping the benefits of enhanced focus.  As you'll note that in November of last year, we made the strategic pivot to begin moving our businesses into a general management structure and created 2 dedicated sales forces within the segment. Sales teams have been aligned to focus more directly on either structured cabling or networking opportunities and are well positioned to capitalize on this returning spend environment. Within our inside plant copper business, project builds are returning to a more normalized pace, driven by very strong order entry, particularly in North America. Our inside plant fiber business also experienced strong growth during the quarter, as multi-tenant hyperscale data center build-outs continue to intensify and service provider spending was strong. As we previously mentioned, our hyperscale business has been an area of strategic focus for the company. And we're pleased to announce that the second quarter continued to show continued strong performance in this critical growth engine for the company. Our DAS and small cell business experienced some year-over-year top line declines as it faced a challenging comparison to the prior year period.  As a reminder, 2020 includes several extremely large stadium projects including the AT&T Stadium, which did not repeat. That being said, the business continues to grow in international regions and the pipeline for opportunities remains encouraging as we enter a rip and replace cycle with our industry-leading next-generation air gap platform. Looking forward, we see a large pipeline of projects stemming from venues such as casinos, hotels, airports, train stations and hospitals as demand for in-building 5G connectivity becomes even more critical for the future. Specific to OneCell, our funnel of opportunity continues to grow, and during the quarter, a number of sites for a major U.S. carrier went online using OneCell. While still not a meaningful contributor to today's P&L, we will continue to drive efforts on adding one additional carrier for its deployment and expect continued success in this regard in the back half of 2021. Our RUCKUS business delivered another quarter of impressive year-over-year growth driven by some similar dynamics mentioned within our inside plant copper business.  A more normalized focus on infrastructure network and networking projects alongside government stimulants are driving demand to improve the availability of Wi-Fi access to communicate and connect. These factors are driving demand for both our Wi-Fi 5 and Wi-Fi 6 products within verticals such as education, health care and the federal space as well as a strong recovery within the hospitality vertical. All of this is despite a very challenging semiconductor supply situation, extending lead times and causing supply shortages.  Turning to Slide 10 for our Outdoor Wireless segment. Net sales of $358 million increased 9%, driven primarily by growth in North America and Asia Pacific regions, somewhat moderated by Europe and Caribbean and Latin America. Within the segment, sales improved in both our macro and metro layer solutions, particularly relating to site preparation deployment as operators in North America begin to ramp their 5G build-outs.  Adjusted EBITDA of $80 million for the segment improved 5% from the prior year period, primarily driven by higher sales volume and partially offset by rising commodity costs. Our Outdoor Wireless segment saw both strong revenue growth and order entry rates during the second quarter. The strength in our Outdoor Wireless business was particularly notable in North America as operators have begun focusing their efforts on site preparations for the coming wave of 5G investments in their networks.  CommScope products serve everything but the radio when it comes to macro cell site deployment. During the first -- during the quarter, we saw an increase in demand for products such as PowerShift our power management solution that helps regulate the electrical current up the tower, HELIAX cabling, steel reinforcement structures to help with tower loading and new cabinetry to house the increased number of electrical components employed at macro sites. We view this site preparation stage, a meaningful step in the ramp for 5G deployments as operators contemplate their radio and antenna architectures for the next generation of mobility networks.  While it's evident that some portion of the networks will gear towards active antennas with massive MIMO technology, the solutions that will not be the most optimal for every area of the network and will vary by carrier and region. In areas of the market that do choose the active antenna route, this provides an opportunity for a variety of CommScope's macro site solutions to help manage power, house electronics and provide feel reinforcement to prevent towers from becoming overloaded.  In some configurations, this will also present opportunities to rip and replace legacy band antennas, antenna coverage with newer and more efficient passive antennas with higher port counts to accommodate to the lack of space and wait on fully loaded towers. All this said, the momentum for 5G deployment is starting to pick up in North America with strong demand from the big 3 U.S. carriers as well as a number of successful projects picking up in the Canadian markets.  Within European markets, we continue to make traction with 5G deployments. As European carriers begin to reassess their initial build intentions utilizing massive MIMO, we are providing solutions like our active passive antenna radio solution through our collaboration with Nokia. Similar to the U.S. market, this presents organic growth opportunities as each carrier region will have to define their deployment strategy accounting for power congestion and power consumption alongside the geopolitical competitive dynamics.  Turning to Slide 11 for our Home Networks segment. Net sales of $457 million declined 28% from the prior year and across all regions except the Middle East and Africa. Despite a continuation of healthy demand and order entry, sales declines were evident across both video and broadband gateway businesses as we continue to navigate the challenging supply chain environment. All of our businesses -- above all of our businesses, Home Networks has been the most impacted by chip shortages. Chip prices are up significantly, and lead times have increased substantially, sometimes to more than a year. These factors combined to put severe pressure on Home's ability to ship product as well as its profitability. Adjusted EBITDA of $15 million declined 62% from the prior year as the impact of lower sales volumes more than offset the benefits of the segment's cost optimization efforts.  With respect to our announcement on the planned spin of the Home Networks business, as Chuck mentioned, our core CommScope and Home Networks teams are working diligently to create stand-alone organizations ahead of the projected spend. While Home Business remains challenged by the supply environment, the demand environment continues to strengthen. We continue to make strong inroads within the syndication markets for XB7 Gateway product with particular strength in the Canadian markets. Outside of North America, we saw product wins for both video and broadband products once again in markets such as South Africa and Eastern Europe. And in our retail channel, we're also seeing proof points of success such as the expansion of our Wi-Fi 6 mesh products at both Best Buy and Amazon. Additionally, as North American carriers are focused on delivering new products and higher speed solutions to consumers for their connectivity needs, we are encouraged by wins in both LTE gateway products for fixed wireless access as well as PON gateway for fiber-to-the-home deployments.  Turning to Slide 12 for an update on our cash flow. For the second quarter, cash flow from operations generated $192 million and adjusted free cash flow was $198 million. As expected, our cash flow generation rebounded significantly from the seasonally weak first quarter. Working capital was a net use of approximately $47 million of cash, primarily driven by an increase in inventory. Increases in the inventory were driven by a number of factors, including revenue growth, increased inventory on the water as shipping times and delays increased, buy ahead input purchases to ensure future supply and increased work in process inventory awaiting inputs necessary to complete finished products.  Given the mentioned consideration within the supply chain, we expect that the elevated levels of inventory may persist for a period before quickly returning to the historical levels as the disruptions abate.  Looking back to historical comparisons, it is reasonable to expect free cash flow generation to be stronger for the second half of the year, although our full year cash generation will likely be negatively impacted by the dynamics described about as well as the incremental investments we're making to support both growth and cost reduction programs.  Turning to Slide 13 for an overview of our liquidity and capital structure. During the second quarter, our cash and liquidity once again remained strong. We ended the quarter with over $446 million of cash and no outstanding draws under our ABL. The company's total available liquidity improved slightly from the prior quarter to nearly $1.2 billion, and there were no significant debt repayments during the quarter beyond the required $8 million of term loan amortization. With the year-over-year growth in second quarter adjusted EBITDA, the company ended the quarter with a net leverage of 6.6x, a significant improvement from the 7.1x at the end of 2021. Note that a partial driver of this leverage improvement was our inclusion and pro forma adjusted EBITDA of additional projected cost savings related to our CommScope NEXT cost efficiency initiative. We remain committed to our longer-term goal of significantly reducing leverage and expect to provide additional insight into our path and timetable towards this goal as we further refine our CommScope NEXT strategy around cost efficiency and growth. Finishing on Slide 14 for an overview of the demand environment and the relevant supply chain considerations impacting the business. From a demand perspective, our view of the respective segment end markets remains largely unchanged. Within these Broadband Networks, we're pleased to see additional firming up and confirmation of RDOF and fiber deep operator build plans within North American and international markets.  And within the DOCSIS network side of the business, while the location of where spend is occurring is starting to shift, the overall intensity of that spend is persistent. Our role remains the same in providing operators who require solutions to reduce network congestion and bridge the progression of network spend and architecture from centralized in DOCSIS 3.1 to distributed access architectures and DOCSIS 4.0 in the coming years.  The environment within our Venue and Campus segment is showing additional signs of normalization and increased demand. Spending activity in structured cabling for enterprise, multi-tenant and hyperscale networks has continued to improve and this is being amplified by stimulus dollars being directed into infrastructure build-outs to improve the connectivity experience. Our RUCKUS business not only benefits from a similar impact from government stimulus, but also the technological refresh cycle of Wi-Fi 6 and Wi-Fi 6E in addition to the recovery of key strategic verticals such as hospitality. And within DAS and OneCell, we continue to expect meaningful demand as customers look to build out the indoor layer of coverage so critical in a 5G network deployment. For our Outdoor Wireless business, as referenced in my earlier comments, the 5G cycle is just beginning to gain traction, particularly within North America. While focus to date has been mainly on site preparation, our significant market share and presence of nearly all solutions on the macro site other than the radio stand to benefit for the years ahead.  Within our Home Networks segment, demand for the CommScope product and backlog continues to grow. Customer visibility into their forecasted needs is improving, and we're making strong progress in the syndication market and new technology developments for things like Streamer and Zapper video products and fixed wireless and PON gateway.  Despite the encouraging demand environment, our business will not be immune to the supply chain challenges we've described in depth. And while we have mitigated many of these factors diligently during the second quarter, and we will continue to work aggressively to mitigate them going forward, it is reasonable to expect some bottom line weakness in the second half of the year.  Finally, the COVID situation is highly fluid and evolving rapidly. None of our assumptions above consider the potential for another major COVID macroeconomic disruption. We remain extremely vigilant and are prepared to navigate through the return of COVID restrictions if necessary. For the moment, however, we remain intently focused on our CommScope NEXT goals of incremental growth, cost optimization and portfolio management while we also work to mitigate these supply chain issues.  And with that, we'll open the line for questions. Operator?
Operator: . Our first question comes from the line of Sami Badri of Credit Suisse.
Ahmed Badri: Can you hear me now?
Charles Treadway: We can hear you.
Ahmed Badri: Okay. Great. I want to go back to the comment that was made regarding the software transaction in the Broadband segment. I think there's really 2 things, I guess, maybe myself and some others want to understand. The first thing is, is it -- was it always kind of part of CommScope's business to sell intellectual property like the software licenses to your customers? If we go back 5, 10 years ago, has this always been part of business-to-business with customers?  And then the second thing, I think that would be very helpful is if you could tell us how this specific edge layer build-out by cable and telecom customers is different than prior cycles. Is this more elaborate? Is it more in depth? Is it extending further? Is this a durable cycle? These are just some of the things that I just would like to know a little bit more about.
Charles Treadway: Sure. Let me take that, Sami. So on the software transaction, just to clarify something that you said. We're not actually selling IP. We're selling a license to increase capacity in the chassis that's in the headend. So this was part of the ARRIS business that we acquired back a couple of years ago and has always been part of the ARRIS business. So the strategy is you sell the E6000 chassis, that goes into the headend. And then as capacity needs grow, you sell additional line cards and licenses to unlock that capacity. And so that has been an ongoing and sort of enduring part of the business model and it happens specifically within the cable modem termination system or the integrated CCAP platform. And that's sort of nothing different.  But the reason, I pointed out that remark is because you pointed out that transaction because the software licenses do have substantially higher margin than hardware. And so there's a pretty significant mix impact if you're lapping a period where you don't anticipate that recurring revenue. So hopefully, that makes that clear. In terms of what's going on at the Edge, really, what we're seeing is operators because we're on this technology refresh between DOCSIS 3.1 and DOCSIS 4.0. Operators are choosing a strategy to push to increase network capacity through more node splitting activity and getting those pushing fiber deeper and then adding amps kind of downstream from those nodes. We do believe that this is enduring -- at least for the near term as we're awaiting a build-out of DOCSIS 4.0. And so what we're seeing is the investment is shifting from the core from the headend into the edge as operators are pushing this node splitting activity. And these nodes for the time being, carry structurally lower margin than the head-end equipment.  So you do see some mix shift as that happens. What you're going to see in the coming years is a migration to DOCSIS 4.0, which will have a combination of sort of virtualized architectures and more electronics being pushed into the node. And so you'll see the economics of the node evolve as we move into DOCSIS 4.0 and get into remote MAC-PHY and Remote PHY architectures. And you'll see that the asset intensity at the headend migrate to the cloud. So hopefully, that explains a little bit of the kind of the shift in spending that we're seeing.
Ahmed Badri: Got it. Thank you for the clarification on software and that volume point. So I just want to go back also to broadband networks growth. And maybe you could help us triangulate this. How much of the growth that we're seeing or saw in 2Q 2021 is being driven by specifically RDOF and any kind of government stimulus programs. Could you give us kind of like an idea on how much of the strength is being driven by those programs?
Alexander Pease: Yes. So we're at the very, very -- I would say no growth is attributed to RDOF at this point, right? The awards have just been made operators are thinking about how they're going to deploy their RDOF spending. So we're really just at the cusp of that level of investment. What's driving the growth in network cable and connectivity, as I think Chuck mentioned in his remarks, is really the push of fiber going deeper. So you're seeing an increase in spending for fiber all the way to the home. As the node business, as we're driving increased node splitting, that's pushing fiber and connectivity deeper. So that's really what's driving the current growth trends. And then we see accelerating growth trends from the RDOF spending. And by the way, it's probably worth mentioning the increase to the infrastructure bill that's being negotiated in Congress right now has about 3x the level of investment in broadband spending that the original RDOF proposition has. So we see an additional surge in investment, which is behind the increased capital and capacity investments that Chuck described when he was pointing to the wins on CommScope NEXT.
Charles Treadway: And the only thing I would add to that, Alex, is that this is going on all over the world. It's not just a U.S. phenomena. And I think that's important to note. I mean, we're deploying things in the Philippines right now. We have lots of opportunities all over the world. And it's just one place, but there's stuff going on everywhere for us outside the United States as well.
Operator: Next question comes from the line of Steven Fox of Fox Advisors.
Steven Fox: I guess just two questions. First of all, you mentioned some additional capacity expansion on the fiber connectivity and also some other fiber products, I think. So I'm just trying to get a handle on what capacity has come online recently because I know you started on some other plans and sort of the timing for the latest capacity?  And then secondly, just in terms of the top line impact from all the supply chain and inflation issues, how much of that do you think drops to the bottom line versus -- I think you talked about it in terms of how it's hurting your ability to ship and meet revenue demand?
Charles Treadway: Well, I'll take the first part, and then Alex will take the second. So it was very early when I started the company probably 9 months ago when we realized what was coming and we knew there was opportunities there and the payback was quite significant. So we did make the investment in capital. It just takes about 9 months for some of this stuff to go online. So we're going to have our first -- some of our first equipment coming online already this quarter.  And we have more for the next 3 quarters going forward. And we're talking about somewhere between $350 million and $400 million additional revenue dollars coming from this. So that's our -- that's the capacity part, and I'll let Alex take the second part.
Alexander Pease: Yes. So I'm going to try to provide some specifics, Steve, just so it will help your modeling. What I mentioned in my prepared remarks is for the quarter, the impact of the cost, the combined cost inflation and freight inflation was about $45 million, and we were able to offset roughly half of that through mitigation steps that we described.  For the full year, that number grows to sort of $250 million, $270 million, give or take. And again, we anticipate being able to offset about half of that through the mitigation steps. So those are sort of the specifics that I described. I just want to give you a couple of other points. If you think about semiconductors specifically, about 96% of our revenue within Home is exposed to semiconductors. So Home is very disproportionately disproportionately exposed to the semiconductor. Within the other businesses, that number is between 25% and 50%. So you get to a blended average for the portfolio, about 45% of our revenue is exposed to the semiconductor.  If you try to translate that to the revenue impact, if we did not have the supply constraints for the full year, you probably have around $465 million of incremental revenue and about $130 million of incremental EBITDA just from semiconductor alone. So that's based on the demand that we're seeing and the backlog that we see. So trying to point out that this is a transitory issue. And -- but for these issues, you have a much stronger result.  If you -- If you look at some of the other inflationary effects, it's actually much smaller. So resins impact about 35%, about 1/3 of the business and then steel is fairly de minimis. So that hopefully gives you some sense of how these supply issues are impacting the business and what the upside looks like once we get through this in the -- hopefully, the back half of the year as we get into 2022.
Charles Treadway: And just to hit your specific point on what's -- what kind of margin would we expect to get from that capital and that top line growth? I mean it's more like, let's say, 1/3 of that should be positively affecting the bottom line of our business.
Operator: Next question comes from the line of Matt Niknam of Deutsche Bank.
Matthew Niknam: I'm wondering, as we think about free cash flow, how should we think about the trajectory in upcoming quarters? And maybe if you can help us quantify some of the impacts from the investments you're making I think there was some working capital inventory discussion and then also some of the investments in revenue and OpEx initiatives that I believe Chuck discussed. And what I'm ultimately trying to get at is how does this sort of impact 2020 cash flow? And how does it look like maybe relative to the somewhat normalized sort of $600 million target? I think you've talked about in the past?
Alexander Pease: Yes. So I think this year is going to be a little bit unusual from a CapEx -- or from a cash flow standpoint. And it's going to be driven by a couple of things. First of all, obviously, the lower EBITDA being driven by these supply chain issues is probably the primary driver. And then you will have higher working capital needs driven by a couple of things. The first is are the inventory issues that I pointed to in my prepared remarks essentially really trying to address the supply issues by prebuying inventory, some of the congestion in the freight lanes is leading to more inventory on the water.  So we will see higher inventory as part of the working capital equation. We'll also actually see a slight increase in our accounts receivables. And that's actually driven by mix shift. So we continue to perform very well on collections activity. But as you see a decline in home networks revenue, which carries more favorable payment terms, you'll actually see the days receivables sort of go up and that -- that's also true as we have more sales in our international markets.  So you will see higher working capital needs than you might otherwise see. And then the last big driver is really on the capacity -- on the capacity issues that Chuck described. So relative to sort of prior periods, this year, we'll probably come in call it, $70 million or so more in CapEx, and that's driven by these capacity investments that we're making.  One of the things that I think, I want to underscore is that the payback periods on the CapEx investments are actually quite short. They're in the order of 4 years or so. So they're very attractive sort of payback is, and it's the right investment to make strategically, but it does impact our cash flow for this year. And then the last piece is on severance-related costs. And so as we restructure and take cost out of period overhead, there are restructuring costs associated with that. And those are impacting cash flow. And again, just to help folks get comfortable the payback period on any sort of restructuring cost is generally under a year.  So again, the right thing to do strategically, but will impact cash flow for the year. And so if I sort of bring all that Home, you should expect this year's cash flow to look somewhat weaker than last year's. And we will follow the normal seasonal trend of second half being stronger than the first half, but it just won't be as much stronger as you've seen in prior years.
Matthew Niknam: And not the press door, but just a follow-up. If you did about $540 million last year in cash flow, I mean, between the supply chain the net supply chain headwinds and then the CapEx. I think that alone gets me to an incremental $200 million worth of headwinds, right, $130 million for the supply chain and about $70 million in CapEx. I mean, is that a fair way to think about it? Or is it -- am I sort of in the ballpark, I guess, is what I'm getting at?
Alexander Pease: Yes, I think you're directionally going the right way.
Operator: Next question comes from the line of Rod Hall of Goldman Sachs.
Roderick Hall: I wanted to first ask one on the wireless and I've got a bigger picture question for you, Chuck. So in Outdoor Wireless, you printed a pretty good number there. And I'm curious, I mean, we see some evidence that C-Band replanning is kind of completing and the outlook for build out looks really pretty good there in the second half of the year. I'm curious if you guys are seeing that better visibility now, especially given supply constraints. And then I'm wondering how much supply constraints affect that opportunity? Is that as severe as what you're describing in the other businesses? Or not as much though? So I'm just curious how much -- whatever that opportunity is get capped by the supply situation. And then I've got this follow-up for you, Chuck.
Alexander Pease: Yes, on C-Band, I would say we're in the very early innings of C-Bands, honestly. A lot of the initial BSA deploy -- base station antenna deployments are with massive MIMO activation -- architecture, which benefits our business because that carries with it a power solutions. So the PowerShift Solution that I described as well as steel reinforcements up on the tower. And so it will pull through a lot of that business. And then eventually, that will lead to a rip and replace cycle for the 4G bands that are on the tower because you'll need to address some of the tower loading issues through higher count more streamlined antennas. And so that work, I think we see sort of ramping in the kind of 2022 time frame. And then also, there's -- as you're probably aware, there's going to be another C-Band option as we get into next year and beyond as well, which will further drive sort of the mid-band 5G deployments.  The other piece of Outdoor Wireless where we're benefiting is really in the cabinet business. So we're seeing extremely strong cabinet demand. And this is being impacted by supply constraints.  So the good news is we've got a very strong backlog there. The challenge that we're having is we need to address some of the supply constraints that we're seeing, but we've got positive confirmations from the customers that, that demand is real, that backlog is real. And as soon as we can address the supply chain constraints, they want delivery of that product.  So I think the outlook for Outdoor Wireless, we feel pretty good about it. If you think about at a more macro level, the supply chain issues are less acute in outdoor wireless than they are in any of the other 3 segments because they just have less exposure to semiconductors than the other segments. And I'll let you...
Charles Treadway: I would just maybe add just a little bit to that just to make sure that you're tuned in. When you put a new tower up, there's also the 4G piece that goes on that tower as well. And of course, we have the active passive product with Nokia that's available. And then we're working for the future to get this universal active passive antenna that could work with everyone's radio. And the same thing on the rip-and-replace scenario where they pull that down. They're going to need 4G to go back up there as well. And hopefully, they'll use our active passive products. And I would just -- I would also add that this is going on around the world as well.
Roderick Hall: Right, right. Okay. Great. And then, Chuck, I guess I wanted to check where we are on the sort of your review of the assets and the business -- I perceived maybe a quarter ago, you felt like you were in the at least first half of that. And I but then you had indicated that maybe by fall, you'd be complete. And I'm just curious how far through that process do you feel like you are now? Are you done? Do you think you'll be done in the fall, like kind of where are we in the review process?
Charles Treadway: Well, let me just start with CommScope NEXT overall. Maybe I'll just give you an update on that, and then I'll hit the portfolio piece while we're there. Is that helpful?
Roderick Hall: Yes, that would be great.
Charles Treadway: Okay. So related to CommScope NEXT growth portion. This is all about targeting opportunities that are tied to customer needs with kind of aligning the technology and the geography as well. So we're going to put more key account managers out in the field, and we're starting to get more feedback on exactly what the needs are and where do we line up our capacity and where the constraints and what we can do to improve. We've moved to general management model, where we have dedicated sales teams. The vertical focus is already starting to pay some dividends for us. And we're starting to push out a lot more application value propositions. And as we -- when we talk about geography, a lot of the solutions that we have are applicable all around the world. So it's very encouraging on the growth side. In addition to the capacity investments we just put in place, which when they get online, that will make up about half of the 250 number that we talked about in the beginning, right? On the cost side we had a POH period overhead address. We've brought out of the gate. We now are in the procurement side where we're looking at direct material. We -- we're putting commodities by wave. So we've already evaluated the first wave. We're starting the second. And what we're -- we have a great team. I think it's important to know we have a good cost culture in the company. It's just the team didn't have the tools. So when we're putting in chip cost tools for them to look at things. We understand what the impact of the commodity is on the product, where is the labor, all this, the tear downs, we're seeing some pretty nice opportunities there.  And on the indirect side, we talked about the cost control towers in my remarks. But I want to -- I wanted to highlight to you that we're looking at everything above $5,000 in POs. And this attention to detail is really what we're driving across the whole company. And we're seeing some, like I said, 8% to 14% type savings there. And these are pretty significant numbers. In terms of portfolio optimization, we're breaking everything down. And one other thing I would say, we're operationalizing the plans. That's what we got the 100 people together for. So we're putting these plans for growth, for cost and for portfolio optimization, we're putting those plans into the business unit levels ex-matrix. So they're going to -- it's going to be tied out there, and each one of these actions will be tied back to the P&L, and that's the hard work that we're doing right now to make sure that they all have an impact.  In terms of portfolio optimization, I mean there's things we're looking at every day in terms of should we be making it? Should we buy it? Is it core? Is it noncore? I mean these are nothing to the level of what we did with home. But when we get to that business unit level, all 14 of them. We're deciding what's important and what's not important, and we're making sure that we have the capacity to drive it. So where we are in that process, I would say we're moving pretty far. I'd say, probably halfway through the process.
Roderick Hall: Okay. And when you think you'll be done or -- I mean, I guess you're never done, but when do you think this first phase will be complete in your mind?
Charles Treadway: Well, I'd say in terms of portfolio valuation first pass, we should be done by the -- by December to be saying when we get to that Investor Day, we should be saying, what we feel is core, not core, make buy whatever from that perspective. When you look about cost and growth, I think these are just continuous. But there'll be more progress. We make more progress every day, and we'll have more to share with you then. And obviously, with portfolio optimization, it's a continuum.
Operator: And our last question comes from the line of Simon Leopold of Raymond James.
Simon Leopold: I know we talked a lot about supply chain and cost. But I guess what I'd like to try to dig into a little bit is maybe a timing issue in that I'm trying to understand in terms of input costs versus when you recognize. So for example, you may have locked in some prices for steel or chips. And so you might have a little bit lower gross margin this quarter where the higher cost might hit you on. They're 2 quarters away.  I'm just trying to get kind of a sense of the timing relative to these higher costs. And then I've got a quick follow-up on Venue.
Alexander Pease: Sure. So maybe a couple of things that will help you. First of all, recall that Home Networks really led the way on the chip issue. They started seeing the chip issue in Q4. And it wasn't really until probably late Q1 that we started seeing these issues manifest in the other segments. Generally, your inventory turns every 40, 45 days, give or take. And so you will see a bit of a lag impact. So there is some cap variances on the balance sheet. So that's why the number that I quoted for the full year impact is substantially larger than the number that I quoted for the in-quarter impact. Offsetting that or related to that, is Chuck mentioned the pricing actions that we're taking. So we are going out and really having a lot of hard discussions on pricing and passing through these costs to our customers, which is in line with what everybody else in the industry is doing as a way to manage that margin.  And it takes time for that to work through the backlog. Given the strength of the backlog, we're obviously not going to reprice the backlog. So there's a lagging impact of when you see the full benefit of the pricing actions that we've taken. So that's one of the reasons why, again, as I mentioned in the second half of the year, you see a bigger impact and you won't see the full effect of the pricing actions that we're taking. But again, really important for everybody to note that these are transitory issues. And they'll be behind us as we get into 2022, and we'll be able to capture the margin that we historically have.
Simon Leopold: That's helpful. And then just on the Venue business. This was, I think, a record quarter on an absolute basis. And I think I'm discerning that the RUCKUS Wireless LAN was super, super strong. Just want to check in on whether one that's right to that's sustainable or if there's something onetime-ish like large array or something like that affecting the quarter.
Charles Treadway: Well, I'll take that one. I think when you think about our dedicated sales force that we put in place in November where we have dedicated RUCKUS teams, I think that's part of the driver. I think people seeing the lead times push out so much. I think people -- there might be a little bit of buy ahead as well or some. So I would say that was -- RUCKUS was a big driver, but I would also emphasize that copper and fiber, inside plant copper and fiber and hyperscale were also really big drivers for the Venue and Campus business.
Alexander Pease: But again, in the headline would be that the business is firing on all cylinders. I would not say that this is something like a onetime issue. It's really looking good. They've got really good backlog. And obviously, RUCKUS, in particular, is going to be impacted by semiconductor issues, but the backlog is great. There's nothing to point to that would sort of abnormal in terms of the strength that we saw.
Operator: I would now like to turn the call back to our CEO, Chuck Treadway, for closing remarks.
Charles Treadway: Right. Thank you. First of all, thank you for your time today. We spend a lot of time on supply chain, but I just want to let everybody know on the call that the focus of the company is CommScope NEXT, driving growth cost, portfolio optimization and our focus is a step function change in the business and we got to keep our eye on the prize. I appreciate your time today, and thanks for your patience.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Have a great day.